Operator: Good day, ladies and gentlemen, and welcome to The Hain Celestial Fourth Quarter and Fiscal Year End 2014 Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, today's conference is being recorded. I would like introduce your host for this conference call Ms. Mary Anthes. You may begin ma'am.
Mary Anthes: Good morning, thank you, Kevin, and thank you, all, for joining us today. Welcome to Hain Celestial's fourth quarter and fiscal year 2014 earnings call. Irwin Simon, our Founder, President and Chief Executive Officer; John Carroll, Executive Vice President and Chief Executive Officer of Hain Celestial U.S.; and Steve Smith, Executive Vice President and Chief Financial Officer and several members of Hain Celestial's management team are with us today to discuss our results. Our discussion today includes forward-looking statements, which are current as of today's date. We do not undertake any obligation to update forward-looking statements, either as a result of new information, future events or otherwise. Our actual results may differ materially from what is described in these forward-looking statements, and some of the factors which may cause results to differ are listed in our publicly filed documents, including our 2013 Form 10-K filed with the SEC. A reconciliation of GAAP results to non-GAAP financial measures is available in our earnings release, which is posted on our website at www.hain.com under Investor Relations. This conference call is being webcast and an archive of the webcast will be available on our website under Investor Relations. Our call will be brief, so please limit yourself to one question, if time allows we will take additional questions and management will be available after the call for further discussions. Now let me turn the call over to Irwin Simon, our Founder, President and CEO. Irwin?
Irwin Simon: Thank you, Mary, and good morning. I hope everybody has had a chance to review our press release that was released at 7:30 this morning to review our fourth quarter fiscal 2014 and our outlook for 2015. Last year, as I said in this conference room, we reported for our fiscal 2013 $1.735 billion. This year, our guidance is somewhere between 2.763 and 2.82 up 59% from last year to this year. And adjusted earnings last year of this time for fiscal 2013 was $2.53. And this year as we go into fiscal 2015 guidance, it’s $3.72 to $3.90, up 51%. Wow! What a performance this company has made. We generated our largest sales quarter and of course our largest sales year in Hain Celestial’s history, up 26% to over $584 million, representing our 14th consecutive quarter of double-digit sales growth; the 14th consecutive quarter of double-digit adjusted earnings growth and high single organic growth in the quarter, wow! On an annual basis, our net sales were up over 24% to a record of $2.2 billion and our adjusted earnings grew 25% to $3.17. Some of the highlights of this year’s accomplishments include, our team completed two great strategic acquisitions of Tilda and Rudi’s Organic Bakery. Worldwide net sales surpassed $2 billion. We introduced over 200 new innovative products worldwide. Hain Celestial U.S. consumption measured by AC Nielsen was up 10.8% for 52 weeks ended July 5th. Hain Celestial UK grocery business grew over 9%. And we’ve achieved record EBITDA of $300 million, a 27% increase and productivity savings up $50 million. And last but not least, we were just named in fastest growing companies of the top 100 by FORTUNE Magazine, number 61. I appreciate all of the hard work from our global team. And trust me, I have never seen a team and I’ve never been so fortunate to work with such dedicated people. Together as a team, we’re executing our mission to be and as we are today, the leading manufacturer of organic and natural products around the world. Hain products are available on more shelves across more geographies and sales channels than ever before. Demand for our products and healthy organic products, continues to grow. The 12 week consumption as of July 5th, measured by Nielsen showed strong growth of 10.7% for Hain Celestial U.S. with conventional products only being up 1.2%, a two year stack number of consumption up 19% with conventional being up only 3%. We believe the opportunities ahead of us are even more compelling as we expand distribution with new existing customers across multiple channels including mass market foodservice convenience stores and grocery chains and you will hear more, later from John. Focusing on the fourth quarter for a moment, our brand performance was strong with broad increase across many brands. We had 19 brands up double-digits; we have six brands up mid to high single-digits. We still have tremendous distribution wide space as we always talk about of opportunities in the U.S. and worldwide. If you think about it, if you take our top 100 SKUs, which we are doing and we take our 33% distribution today, our ACV to 50% that’s an incremental retail value of $250 million. The U.S. food market is estimated to reach $800 billion by 2017. There is a lot of opportunity for us to take away from conventional market. And our objective is just to get 1% and that’s worth $800 million if we get that 1%, which we will. We also believe what Whole Foods and Sprouts goal to open up 1,200 stores will create a lot of additional opportunities for us and a lot of additional opportunities to sell more and more Hain products to their stores. The U.S. is just one example and today we’re in over 65 countries where our brands are available and distribution white space opportunities are even more compelling for organic and natural products. We’ve recently now opened up new offices in India, Middle East and of course our joint venture in Asia with Hutchison Whampoa. We continue to experience growth from new distribution including expanded Sensible Portions snacks sets, Ella's Kitchen at Walmart, Kroger, Publix, our Non-Dairy plant based products in Europe and expanded distribution of our UK grocery business with Gale's, Sun-Pat and Hartley's. Importantly, we’re also expanding distribution deeper into key accounts with both new and existing products based on strong consistent consumer demand for example Ella's Kitchen is a target made to matter brand partner featuring four new Ella's Kitchen SKUs and Costco Canada has a new pilot program with Sensible Portion. The results combined with our operating leverage to our fourth quarter adjusted earnings of $0.90 versus $0.65 of fourth quarter last year, up 39%. Despite higher commodity costs, we’re able to effectively manage our expenses to report a 49% increase in adjusted operating income to $73.9 million a 200 basis points improvement in our operating margin to 12.7%. Our adjusted EBITDA was $79 million or 13.6% of net sales. We’re well on our way to hit our objective of delivering long-term growth EBITDA to 15% to 18% of net sales. In the UK our segment of - in our UK segment our net sales were up 60% in local currency which included $59 million of net sales for our new acquisition Tilda, even without Tilda our UK net sales were up 17%. While we all know it was a tough year for soup in the UK, our new Covent Garden Soup brand was up slightly after getting back into Tesco. We’ve worked through our operational issues which allow us to have sufficient supply for Tesco, Sainsbury and other customers and hopefully, we will have a cold winter and I know it’s raining in the UK today. We continue to develop and expand relationship with Tesco and Sainsbury, just visiting both customers, health and wellness is a major focus for them and we’ll be a part of it, along with foodservice accounts like Pretamange along with other opportunities in Ireland where we just opened up a new office our Cully & Sully brand was up 11%. The grocery business is seeing great traction and our spreads business for the quarter was up 25% how do we achieve this new products, new position on the sale and a lot of promotions, and we will launch in the first quarter this year our first new advertising program on our grocery business. Project Castle which you have heard us talk about over the last year our Sainsbury Dessert business and I have recently have met with Sainsbury on along with a team and quite excited, we launched over 40 new products, we expect it to ramp up later this year to full production where we will reach a £25 million run rate and for fiscal ’15, we’ll reach about a 35 million run rate I am sorry for fiscal ‘16 we’ll reach a £35 million run rate. We couldn’t be more excited about our addition of Tilda tremendous opportunities are ahead of us and we’ll take Tilda in Hain products into deeper range in the Middle East, India and Asia. Tilda has a strong fourth quarter with Ramadan and increased its foodservice business in the Middle East our plan is to integrate Tilda into one global entity, introduce new rice and grain products in the U.S. and UK. We’ll also look to sell Tilda through John’s group in mass market and foodservice business in the U.S. Lastly, last year this time we were talking about acquiring Ella's and integrated into a global baby unit under John's group. With that with our well played infant toddler PD group, Ella's is now the number one baby brand in the UK surpassing [Hit] and Hain's brands, what a great accomplishment after a year. Canada, Europe and the rest of the world also perform well. Canada sales were up 9% in local currency led by Sensible Portions, Imagine, Terra, Casbah brands and new product sales. Our European sales were up double-digits in local currency despite a flat and tough economy in Europe, our top five brands generated 80% of our sales. Now that our Natumi plant is up and running in Germany, we see tremendous opportunities for our plant-based beverages throughout Europe. And we're able to see this success in areas that include over 30 countries and 50 different languages, legislations, currencies and products that we sell throughout Europe. Today, we continue to be excited about the future growth sales and integration opportunities from our recent acquisitions including which you heard me talk about, premier spreads in Histon, BluePrint which I have one in my hand right now Ella's Kitchen, Tilda, Rudi's and Hain Pure Protein, which we acquired the remaining piece of it in July. We've successfully completed 10 acquisitions over the last four years. I've integrated each of them and then carefully have invested behind the growth, the consumer awareness and increased consumption. We'll continue to spend more through our newly created social media team to build more and more awareness around our brands both domestically internationally. Earth's Best, [think back] in 1999 was acquired and it was a $14 million business moving the wrong way. Today, it's closing in over $200 million of sales. Spectrum we acquired it, was around for 20 years and was over $30 million. Today, it's over $100 million. On our Snack side, Terra, Garden of Eatin' and Sensible Portions today represent nearly a quarter of billion dollars at billion would it be of sales of our Snack business today. And we expect that business for us to double over the next few years. Greek Gods, when we acquired it that was around this time four years ago was somewhere around $14 million business. Who heard a Greek Yogurt back then? Today, our Greek yogurt business is over $100 million so it shows you, we know how to buy right categories, right brands, right businesses, integrate them and grow them. This speaks not only to the strength of our brands, but equally the important of our people, our investment and our global team and distribution network. As I said before, branded products innovation is driving the growth in natural and grocery and mass channel. Hain's growth from innovation is about 25% in natural channel and 35% in grocery and mass channel. Availability of organic and natural products is on the rise whether you are a local value conventional food retailer Wal-Mart target progress specialty food retailers and of course don't forget whole foods and sprouts. While many of view the negatively for Hain in fact quite contrary. Broader consumer consumption of organic products and natural products is a more compelling dynamic driver of growth across our products. As well, you walk into 711 convenient stores, you will see our products, you walk into fast casual channels including white table cloth dining (inaudible) and of course college campuses where there is over 30 million students in our future and current consumers. You have heard me say and I know John has, wherever there is cash register, I want a Hain product which will provide us endless opportunities for growth in key categories with strong brands. We expect our clear consistent growth opportunities will translate into a $3.5 billion worldwide sales by 2018 and that is without acquisitions. To best position Hain, realize these growth objectives globally will continue to build our infrastructures to support our future growth with additional investment in CapEx. After making major investments across our plans to support the growth of our expanding global business in 2013, we invested over $42 million in CapEx this year and we expect the same next year to continue to build out our infrastructure to support our growth. In addition, productivity is key and it amazes me sometimes when I hear certain companies talk about were taking this productivity initiatives. It's something that happens every year at Hain and it happens when it starts from ground zero. We generated this year over 50 million and we look to do that in next year. Our balance sheet which is always something that I look at is strong. We'll continue to provide the financial flexibility for us to pursue strategic opportunities as they present themselves. We paid down this year $75 million of debt. Our operating free cash flow was $143 million that is three times versus what it was last year. A great reflection of the strength of our business and the last time I check you take cash to the bank. We continue to be better positioned than ever before with the right people, brands, global infrastructure to drive sales and earnings growth for at least the next several years. As I said before and we all know it to be true healthy eating is not a trend or fact but increasingly to be a major part of our lives. As we'll see many opportunities for future strategic accretive acquisitions, a year ago when I was doing this call, I didn’t even know of Tilda or that Rudi's would be for sale. In summary, it was a record performance for Hain across our brands, sales channel and across our geographies. And with that I want to thank again all the 6,500 people around the world that work for Hain Celestial Group. Without them, we would never be able to achieve what we have achieved. Now I’ll turn the call over to John.
John Carroll: Thank you, Irwin. Good morning. Q4 was a record quarter for Hain Celestial U.S. Key highlights included net sales of $323 million, up 13.2% versus year ago. Importantly, we had strong Q4 organic growth of 7.5%. This was achieved despite funding a $3 million shift to account-specific, point-of-sale programs. These programs, as we discussed last call, are classified as a reduction of sales. The impact of this shift reduced our net organic sales increase by a 100 bps from what would have been 8.5% to a still strong 7.5% organic sales increase. As Irwin mentioned, our latest 12-week Nielsen AOC consumption was up 10.7%, which significantly outperformed the AOC total channel growth of 1.2%. Our growth was achieved even as we lapped strong year-ago comps, and resulted in a two-year stack consumption gain of 19%. Our operating income increased to $52.3 million, up 24.5% versus year ago. And our Q4 operating income margin was 16.2%, which was up a 150 bps versus a year ago, reflecting gross margin improvement and increased leverage of our SG&A platform. Q4 was a strong ending to a record year for Hain Celestial U.S. 14 key highlights included net sales of $1,282 million which was up 17% versus year ago. Again importantly, we had strong organic growth of 8.5% for the year. This was achieved while funding a full year $12 million shift to account-specific, point-of-sale programs. Our FY14 operating income increased to $212 million, up 19.5% versus year ago and our FY14 operating income margin was 16.5%, up 30 bps versus year ago. Now, as we look towards FY15, as we always do, we look at five key factors to judge the health of our business. These five key factors are consumption trends; AOC distribution growth; innovation; productivity and our most recent acquisition’s performance. And as we review our Q4 results, we see strong momentum against all five key factors. Starting with our continued consumption growth, Q4 was our 18th consecutive quarter of strong U.S. consumption growth. We drove growth, as I said before, despite going against very strong year ago comps. Our second factor we look at is our AOC distribution growth. Our top 13 brands which account for over 80% of our AOC sales saw Q4 distribution gain of 7% versus year ago. And we have been consistent in the 6% to 7% range throughout the year. Our third key factor is our innovation and we had strong innovation this year. We introduced over 150 new products in FY14, driving over $42 million in sales. As Irwin mentioned before, we are seeing innovation positively impact consumption growth across all channels, not just the natural channel. In fact, innovation accounted for 35% of our growth in the AOC channel, which is up 10 points from where it was a year ago, when it was 25%. We are well stocked with great innovation across our key brands to drive growth in ‘15. The fourth factor is our productivity program. We had FY14 inflation of over $20 million as almond, coconut, quinoa and dairy pricing was up significantly versus a year ago. The key to offsetting these cost increases in ‘14 was our productivity program and SG&A synergies. FY14 total U.S. productivity savings were over $30 million. We realized significant productivity gains from increased plant efficiencies, increased internal production, and value engineering. And we expect to better those results in FY15 with key productivity initiatives to be implemented across the businesses including our beverage plants’ optimization, increased internal production of baby food pouches, our distribution network optimization, and leveraging the Hain worldwide scale and spend on global procurement and logistics. The fifth and final key factor driving our optimism is our latest acquisitions BluePrint, Ella's Kitchen and Rudi's Organic Bakery. Now, as I mentioned in the last call, we've doubled the BluePrint business in our first year of ownership. And I know Irwin already told this, but I want to say this again, Ella's Kitchen is now the number one baby food in the UK with over $100 million in FY14 U.S. and UK sales, up 40% versus a year ago. But we also continue to be thrilled with our latest strategic acquisition, Rudi's Organic Bakery. And we've owned this business for only 3.5 months and we’ve already migrated Rudi's on to the Hain Celestial IT platform which allowed us to leverage that migration to consolidate Rudi's office into our Celestial Seasonings building and realized significant SG&A synergies. We've also moved sales responsibility for Rudi's to The Hain Celestial U.S. sales force to attack distribution white space opportunities, importantly we want to attack them with this force across channel. We saw Rudi's AOC consumption and distribution increased by 21% and 17% respectively versus year ago and the latest 12 weeks driven by gains in Kroger, Safeway, Wegmans and Wal-Mart and we've accelerated the launch of four new Rudi's products including the number one selling product of the Hain company store, Rudi's Organic White English Muffins. You should definitely get some of those and enjoy those for breakfast. And finally, we've implemented our productivity process at Rudi's Boulder plant to improve quality, increase plant efficiencies and drive procurement savings. We believe we can grow Rudi's top line across channels via innovation and filling in distribution white space as well as increase its bottom line profitability via productivity and SG&A synergies. So to close, Q4 was a really strong quarter for Hain Celestial U.S. highlighted by 13.2% top line growth, 7.5% organic growth and AOC consumption growth of 10.7%. We've also had a 24.5% gain in operating income and 150 bps increase in operating income margin. And Q4 capped a record FY14 for Hain Celestial U.S. with 17% top line growth, 8.5% full year organic growth, AOC consumption growth of 10.8%. We've also had a 19.5% increase in operating income and a 30 bps increase in FY14 operating income margin. And we're optimistic about FY15 even with yesterday's announcement of a voluntary recall on MaraNatha and I'll tell you we will execute this recall quickly and efficiently and we plan to begin restocking retailer shelves with fresh, great tasting MaraNatha products early next week. Given our strong consumption trends, our growing AOC distribution base, our exciting innovation, our productivity initiative and our strategic acquisitions particularly at the latest Rudi's Organic Bakery, we believe FY15 will be a very strong year for Hain Celestial U.S. Now I'll turn the call over to Steve Smith. Steve?
Steve Smith: Thank you, John and good morning everyone. It is hard to believe that almost a year has passed since I joined the team here at Hain. I can’t thank Irwin and the rest of the management team enough for their support and for welcoming me so much into the Hain family. We have accomplished a lot in this past year, but I certainly look forward to the opportunities we face in 2015 and beyond. I'm going to take you through the financial highlights of the fourth quarter and the fiscal year and then we'll have a few comments on guidance. If not stated, amounts I will be discussing are from continuing operations. We had another terrific quarter from the sales perspective; key drivers included the following items. Our acquisitions of the Tilda and Rudi's businesses increased sales by $71 million in the current quarter with each of these businesses showing strong growth under our ownership versus the same period last year. Our performance versus a year ago was also benefited by currency movements. However, the benefit versus the guidance we’ve provided in May was nominal, as currency rates underlying our guidance were very consistent with average rates for the quarter in our most significant foreign currencies. As John mentioned, increased point of sales tradesman activities, the practice we increased in the second quarter of this year and which is shown as a reduction of net sales reduced sales by approximately 40 basis points versus a year with an offset and reduced SG&A spend. Finally, the additional month we own the Ella's business in the quarter as compared to last year was essentially offset by other business we divested off during the year. Our adjusted earnings from continuing operations was $0.90 per diluted share, compared to $0.65 per share in last year's quarter, improving 38%. We earned $0.70 per diluted share on a GAAP basis in the current year. Adjusted income from continuing operations was $46 million this year compared to $31.7 million last year, improving 45%. Income from continuing operations on a GAAP basis in the fourth quarter was $35.7 million, compared to $25.9 million in last year's fourth quarter. As noted in our press release, our current quarter adjustments to income of $10.3 million are principally from $6 million related to the voluntary recall which John discussed, start-up cost of $3.8 million related primarily to Project Castle our chilled desserts facility in the UK, $2.9 million of acquisition-related fees and expenses, including integration costs from Tilda and Rudi's, $2.2 million non-cash valuation reserve on net operating losses incurred as we start up our Non-Dairy facility in Europe. We will realize the tax benefits resulting cash as the facility moves pass its start-up phase and returns to profitability, and $1.4 million of severance cost related to acquisitions and other reorganizations. Partially offsetting these items are almost $4 million of non-recurring income items, including a $1.7 million [shrewd] up of contingent consideration earn-outs to the final agreed two amounts and other items including unrealized currency gains and gains from sales of shares in the cost method investment. Gross margin on an adjusted basis was 27.8%, an 80 basis point increase versus the same period last year and gross margins have improved sequentially each quarter during the current fiscal year, this increase is net of the 40 basis point impact and the trade spend shift I previously discussed. SG&A for the quarter on an adjusted basis and excluding amortization of acquired intangible assets was 14.4% of net sales, a 110 basis point improvement as compared to last year. The rate of spend decline in the quarter is mainly from the aggregate impact of our acquisitions as we achieve strong operating leverage in addition to the trade spend shift I just mentioned. As a result we continue to show robust operating margin expansion. On an adjusted basis operating income was 12.7% of sales this year increasing 200 basis points from 10.7% of sales in last year’s fourth quarter. Operating income on a GAAP basis was 10.3% of net sales which compares to 8.6% last year. On a GAAP basis for the fourth quarter our effective tax rate was 39.2% this includes the effect of a non-cash valuation reserve I discussed, our adjusted effective income tax rate for the quarter was 34% compared to 29% last year. The increase in the effective tax rate is due to the final mix of our world wide income as compared to prior estimates. For the full year our adjusted effective income tax rate was 32.9% which is roughly consistent with the guidance given and compares with the 32.6% for the prior year. Now focusing on our full year 2014 financial results in more detail, income from continuing operations is 141.5 million compared to 119.8 million in the prior year. On a GAAP basis we earned $2.83 per diluted share versus $2.52 last year. After eliminating the impact of adjustments detailed in our press release tables adjusted income was 158.6 million compared to 120.2 million an improvement of 32% and adjusted earnings was $3.17 per diluted share, up 25% from last year. Net sales reached a full year record of 2.154 billion an increase of 24% compared to last year's 1.735 billion, foreign currency was a net benefit of $18 million for the full year. On an adjusted basis, gross margin was 27% in line with our expectations and 60 basis points below prior year with the shift in trade spending resulting in approximately 50 basis points impact. Gross profit was 26.3% on a GAAP basis compared to 27.4% in the last fiscal year. Operating income for the year amounted to 227.7 million on a GAAP basis compared to 174.3 million last year improving 31%. Adjusted operating income was 256 million, compared to 195.3 million last year improving 63 basis points to 11.9%. For the full fiscal year, depreciation and amortization was $48 million as compared to $40 million in the prior year. Stock compensation was 12.4 million for the full year compared to $13 million last year and we're doing this while our balance sheet continues to be strong. Our working capital is 379 million for the current ratio of 1.9 to 1 at June 30th. Stockholders’ equity increased to $1.62 billion. Debt as a percentage of equity is at 53.6% and debt to total capitalization is now 34.9%. Net debt at the end of June was $744 million. And excluding debt resulting from Tilda and Rudi's acquisition debt declined from last year by $75 million. Our cash balance was $124 million increasing $83 million from last year and this strong cash position allowed us to fund the Hain Pure Protein acquisition with cash on hand as well as stock that we issued. For the year, operating free cash flow tripled to $143 million versus $48 million for the prior year. The increase is principally the result of our improved earnings and the heavy investments we made in the prior year in our infrastructure. CapEx for the year was $42 million. Our cash conversion cycle is 65 days for the year, an improvement of one day versus the prior year. Now, I am going to turn to guidance for next year, for the current year I should say for fiscal '15. Including the acquisitions of Tilda, Rudi's and Hain Pure Protein our guidance for net sales for the full fiscal year is expected to be in the range of 2.725 billion to 2.8 billion, again that's 2.725 billion to 2.8 billion. Approximately two thirds of the growth is coming from acquisitions and one third is organic growth including the growth of acquired brands under our ownership. As a reminder, during fiscal 2014 we got out of business in Europe and Canada which will impact sales for the first quarter by about $6 million. With respect to the cadence of our quarter from a sales perspective, our second quarter is historically our strongest quarter with the third and fourth quarters roughly the same and our first quarter the smallest. Sales growth on an absolute percentage basis will be strongest in the second quarter. With respect to earnings, the first quarter is typically our smallest quarter with the other quarters relatively consistent as a percentage of the full year. We anticipate earnings per diluted share will be in the range in of $3.72 to $3.90 per diluted share for the full year. Excluding the effect of The Hain Pure Protein acquisition, our gross margin for the year is expected to be 27% to 27.2%. Excluding the effect of the Hain Pure Protein acquisition, our annual SG&A rate which includes amortization related to acquired intangibles, is estimated at approximately 15% to 15.1%. Excluding the effect of the Hain Pure Protein acquisition, full year operating margin is estimated at 12% to 12.2%. Hain Pure Protein will be reported as a separate segment and it’s expected to have 150 to 160 basis-point compression to our consolidated gross margin and 80 basis-point favorable impact to our consolidated SG&A expense and 70 to 80 basis-point impact to our consolidated operating margins. Due to the fresh nature of the business, Hain Pure Protein operates with gross margins in the high single-digits and mid single-digits operating margins. Our effective tax rate is estimated to be 32%; our weighted average diluted share count is estimated at 51.4 million for the full fiscal year; CapEx is estimated at $40 million and interest expense is estimated at $28 million. As indicated in our press release, our estimates do not include any results of discontinued operations, acquisition related expenses, integration and restructuring charges, start up costs, unrealized currency gains or losses, reserves for litigation, other non-recurring or one items of future acquisition activity. And at this point, I’ll turn it back to Irwin.
Irwin Simon: Thank you Steve, thank you John. Now, I’d like to turn it over to questions. Mary?
Operator: (Operator Instructions). Our first question comes from Bill Chappell with SunTrust.
Irwin Simon: Good morning Bill.
Bill Chappell - SunTrust: Good morning Irwin. Can you talk a little bit more on the spreads business in the UK, just trying to understand it? Obviously the business took a pretty big upswing this quarter versus last and just trying to understand, is that sustainable; I mean did this new distribution kind of kick in this past quarter so we’ll see that continue in the next two, three quarters or is that -- and/or should we see it start to moderate as the soup becomes a bigger part of the mix?
Irwin Simon: So, Bill, good question, I have Jeremy Hudson, actually sitting here with me who runs our Hain Daniels operations. But when we bought these brands, we knew that they were not spent against, number one; number two, there was no innovation against these; and number three, we looked at placement on the shelves. And with that we have improved placement on the shelves; we have innovated; we have focused on Gale's, we have focused on Sun-Pat peanut butter, we have focused on Hartley, both the pods and jams and focused on Frank Cooper. So, absolutely sustainable, absolutely we think there is additional opportunities we’re going to launch in the first quarter, our first advertising campaign and going against kids products. So, Bill, we think it’s sustainable with lots of runway and growth especially in the nut-butter business peanut butter business, Sun-Pat and Gale's honey where we’ve -- actually Sun-Pat is the number one peanut butter and we just think there is tremendous opportunity there. And Gale's where [Rouses] has been a number one honey, we think there is good opportunity there. So, and we’ve also now have spent capital in our Histon facility which will get margin improvement and efficiencies. The other thing that has happened for us, we’ve had a lot of private label business that was lost when we were acquiring the business. And there is some big tenders up for bid right now and we’re looking to be able to win them.
Bill Chappell - SunTrust: And just to clarify, this all came last quarter; I mean the major distribution gains kind of kicked in last quarter or…
Irwin Simon: Major distribution came in the back half and that was in the third and fourth quarter, but we had a big fourth quarter. The other thing, just to mention, this group will be taking on our non-dairy business in the UK where it was handled before through a third party distributor and throughout our European group. So now the sales team and grocery team will now be handling our Imagine, our Rice Dream, Soy Dream, Almond Dream et cetera in the UK. So the grocery team will continue to focus on other grocery products.
Bill Chappell - SunTrust: Great, I will get back in the queue. Thanks.
Irwin Simon: Thanks Bill.
Operator: Our next question comes from Sean Naughton with Piper Jaffray.
Sean Naughton - Piper Jaffray: Good morning. Thanks for taking the questions.
Irwin Simon: Good morning, Sean.
Sean Naughton - Piper Jaffray: Good morning, Irwin. So real quick, just on the overall just the gross margin; can you disaggregate maybe just a little bit further the 40 basis points of expansion that you saw in the quarter where that really came from? And then just maybe a bigger picture question for you Irwin. You talked a lot about the international distribution gains and a lot of the stuff that’s going on here domestically where you can sell more Hain products. But can you talk a little bit about how your business is doing in the online channels and do you think this could over time begin to make up a more meaningful portion of your business? Thanks.
Irwin Simon: So first, I am going to let Steve -- what I will do here, I will be like a traffic cop. I will let Steve talk on the margin piece; I will let John talk about our online business because every retailer we go today along with Amazon wants to talk about online and they’re focused online; and then I will talk about on a global basis. Okay? And I’ll have Jeremy just talk about online in the UK business. So go ahead, Steve.
Steve Smith: Okay. So the increase in the margin in the quarter came primarily from the U.S. and UK, despite the trade spend shift that we talked about on the call and that John and I both discussed. The U.S. gross margin was up versus the prior year, that's a function of the productivity initiatives that we've been talking about all the year taking in and we had said a lot of that would be backend loaded. And then in the UK, we had very strong quarter from the sweet spreads business and also from our Tilda business.
Irwin Simon: Okay. That answers your question Sean?
Sean Naughton - Piper Jaffray: Yes, that's helpful. Thank you.
Irwin Simon: Hey John, do you want to just talk about our online business and…
John Carroll: Sure. So here, we’ve been saying this for a while. In regard to our top account, Amazon is a top 10 account for Hain Celestial and it's growing quite strongly. But even more importantly, look; we look at online as probably the most disruptive event in the grocery space since Wal-Mart entered into grocery. So every key player whether it would be Amazon, Amazon Fresh or Wal-Mart talking about their online business or Kroger talking about their online business that's what they want to be talking to you about right now. So as a result, we’ve actually made a commitment to that and staffed up on the online side for both our sales piece as well as look, content is huge as you are trying to sell your product online and so we’ve staffed up in digital media as well. But we think that this will be a huge growth area for the business going forward for at least the next three years, if not longer.
John Carroll: Jeremy?
Jeremy Hudson: I’d echo John's comments. I think in the UK was seen all of the major multiple retailers engaging more clearly with their online offerings and looking for [those] suppliers to help them in terms of how they're offering products to the consumer. So, just as in the U.S. we see that was a key growth area going forward and we’ve got to invest into right people to make sure that we leverage that as much as we can.
Steve Smith: And Shaun, just on that. Number one, last year we didn’t have a social media team in place here under (inaudible). We now have a social media team in place. We have over 12 million moms a month between Ella's and that visit our site from a global standpoint over 60. Just in regards to MaraNatha yesterday, we're able to talk consumers immediately to ensure they don't get frustrated. They can’t get through our consumer awareness line. But more important is this here, when we have the mom line and they're searching our sites, how do we direct them to buy? And a matter of fact in some cases, we got them buying, bring online ourselves but on the other hand as John said, every retailer we spend time with today, they are coming to us and how do we tie into their online and specially with mothers, that is number one, who they want basically. So, if you go back and look what our business has done with first direct, what has done with Amazon, what has done in the UK with online business. And we've been out busy in retailers and that is the number one topic, how we tie back into your online business.
Sean Naughton - Piper Jaffray: Okay, that's good to hear. Congrats on a nice Q4 and best of luck in ’15.
John Carroll: Thank you.
Operator: Our next question comes from Andrew Lazar with Barclays.
John Carroll: Good morning, Andrew.
Andrew Lazar - Barclays: I just want to come back gross margins for a minute. Just first off as a clarification in the fourth quarter, obviously as you talked about your gross margins were up year-over-year and sequentially obviously made a big improvement given the productivity and such. I think it may have come in, for the full year, maybe a bit below what you are guiding towards at least last quarter. So I'm just trying to get a sense of what changed there, whether it was input cost or what have you? And then more importantly as you look out to ‘15, your underlying gross margin guidance if you are excluding HPP, still looks for some improvement there. So, I'm just trying to get a sense of the key pieces right, get sense of what your inflation looks like it will be fiscal 15, you did some pricing in April. Is that pricing enough to -- on its own offset the inflation you're looking for, how much of the productivity you are expecting will have to be also used to help cover inflation, if any? So, I'm trying to get sense of what the pieces are there, thank you.
Irwin Simon: Good morning Andrew. I think there is a number of questions there, we may have to ask you to repeat some of them. But just to start off I believe the guidance that we gave for the full year was in May was 27% to 27.1%. 
Andrew Lazar - Barclays: Right.
Irwin Simon: So, we hit the 27%. We were impacted slightly in the quarter by mix, because we're slightly below the guidance for the quarter and that's primarily due to mix.
Andrew Lazar - Barclays: Okay. And then right as we look out to ‘15, you have got some underlying margin expansion targeted for gross margin and trying to get a sense of just the piece is there. What are you looking for inflation to be in ‘15 at this point? Has the pricing that you've already announced in April enough to offset that and i.e. how much of the productivity needs to be used to cover inflation?
Irwin Simon: So, for fiscal 15, we continue to, we see some slight operating margin expansion and that's kind of come we believe that soup is going to have a good strong business. Next year, we believe a lot of the issues that we faced earlier in the year and those challenges have been resolved. And so we're expecting soup which is a good margin business for us to show decent improvement versus fiscal ‘14. In addition, as we’ve said previously Project Castle as it comes up, ramps up we’ll show accretive gross margin to the overall business having Tilda in the business for the full year will help slightly as well.
John Carroll: Our European Non-Dairy business now at our plant up and running Andrew. And of course Andrew price as you start to get the full year of price it ultimately will help from a margin standpoint and as you heard me say before, we’re looking for $50 million plus of productivity that’s built into our margin for fiscal 2015.
Andrew Lazar - Barclays: Got it. And then just, do you have number yet or expectation on what you think your overall inflation will look like for the year?
John Carroll: It’s a 3% to 4%.
Andrew Lazar - Barclays: Okay. Got it. Thank you.
Irwin Simon: And we like where we see corn prices and certain commodity prices fuel prices. I mean unfortunately we’re not seeing all elements move that way but -- and being in this business there is always puts and takes in that.
Andrew Lazar - Barclays: Yes.
Irwin Simon: The good thing about having diversified portfolio is managing that. I think the other big thing just Andrew on that is I think one of the big things today which I didn’t touch on is the global productivity team that we have around the world today sourcing products, and that is the big factor within Hain. The big thing is last year as we dealt with at our stocks and being able to get our hands on certain commodities hopefully we’re overcome a lot of those that will help our sales and help our overall margins. As we’re out there today sourcing 99% of our products they’re GMO free organic, they’re Sourcing organic and GMO free products is something that we think we one of the best at and we’ll continue to do efficiently.
Andrew Lazar - Barclays: Thank you.
Irwin Simon: And Andrew just the other thing we did i.e. you’ve mentioned something on our Hain pure-protein I think we did give our margins on Hain Pure-Protein.
Andrew Lazar - Barclays: Yes, I was talking about underlying base margins before HPP. Thank you.
Irwin Simon: Okay.
Operator: Our next question comes from Andrew Wolf of BB&T Capital Markets.
Andrew Wolf - BB&T Capital Markets: Hi. First just wanted to revisit your numbers I think I heard when you discussed the UK business, I think Irwin you said that grocery ex-Tilda was up 9%. Then I heard another number, sorry I heard grocery up 9% then I heard ex-Tilda up 17%, so is the grocery sort of consumption and the ex-Tilda’s sales?
Irwin Simon: Well I think one was for the quarter Andy.
Andrew Wolf - BB&T Capital Markets: Okay.
Irwin Simon: The grocery business for the quarter was up 25%, Hain Daniels in total was up for the year was up over 9%, grocery was up 9% for the year 25% for the quarter and the overall business was up 17% Hain Daniels.
Andrew Wolf - BB&T Capital Markets: Okay. So 25% for the quarter was the ex-Tilda business or what…
Irwin Simon: No 25% was -- it’s in spreads business our grocery business, the overall Hain Daniels business total business was up 17%.
Andrew Wolf - BB&T Capital Markets: Got it. So that 25% is driven by the distributions gains you highlight?
Irwin Simon: It’s driven by distribution gains, driven by new product innovation and picking up new listings.
Andrew Wolf - BB&T Capital Markets: Okay.
Irwin Simon: Which is distribution gains.
Andrew Wolf - BB&T Capital Markets: But I assume -- are you able to still -- I mean are you getting enough, how do you get the consumption data there is it from a syndicated sources or straight from the retailers?
Irwin Simon: It's Nilson's, we’ve had Nilson's comes out six months there, so it's actually syndicated Nilson numbers or IRI either or same thing.
Andrew Wolf - BB&T Capital Markets: Can you indicate if is it, if you getting better products in the innovation and healthy and so forth. Have you seen an increase yet in the …
Irwin Simon: Absolutely, we're seeing some of the best shares then we've ever seen on these products and up high-single-digits from a share standpoint.
Andrew Wolf - BB&T Capital Markets: Okay. That's what I was looking to get to.
Irwin Simon: And Andy, I mean in the UK, let me tell you they are great retailers like here but they really study your consumption, your movement and that's how you get to further promotions et cetera. So the other big thing which part of our big change in the UK also with different types of promotions, I mean it seems like everything we want sale for pound and we've changed a lot of that, we are 2 for 3 pounds now and have raised our promotional levels and we're seeing this growth with better promotions.
Andrew Wolf - BB&T Capital Markets: Okay. And just the last thing on the UK, I think there were some issues with soup lines with soup season coming up is that squaring away?
Irwin Simon: I'll let Jeremy answer that, because then we just can hold this seat to the fire make sure. If I say it -- as I say that's we saying is the man that has got make it happen that's why -- he has got to make it happen. Go ahead Jeremy.
Jeremy Hudson: Thanks Irwin. We've built some ongoing investment in both of our soup factories obviously through over the last couple of months in the next month, it's our quite period. So that's typically when we would make most of our investments so we are on track for everything to be stuffed properly when the soup season picks up towards the end of September.
Andrew Wolf - BB&T Capital Markets: Okay. So, have you had to reengineer or add lines I mean what was the ultimate solution to get in?
Jeremy Hudson: There's been some reconfiguration of the lines to get better efficiencies and we've also put a new filling machine in again to get better efficiencies. So, there's been some replacements and some reconfiguration as well.
Andrew Wolf - BB&T Capital Markets: Okay. And my last question for John is on Rudi's consumption acceleration and distribution gains, is that more on the either side of the business gluten-free versus organic or was it pretty balanced in growth?
John Carroll: Andy, we are seeing nice gains across both. In the natural channel we're seeing more gains against organic and in the AOC we're seeing stronger gains against gluten-free, but both sides of the business are performing well.
Irwin Simon: And Andy, we do spend against Rudi's contrary to whether other people have thought and we will continue to spend against the Rudi's brand and it will become one of the biggest gluten-free product lines out there. So stay tuned to what's going to happen with the Rudi's brand. Also, we expand against all our acquisitions, the key point of that is, that's how Ella’s Kitchen became the number one baby food in the UK.
Andrew Wolf - BB&T Capital Markets: Yes, actually, obviously, we've seen a lot of your point of sale, company specific. So that gets me to last question. John, you identified I think last quarter you just want to concentrate the marketing and spending in three places. You mentioned social media first and I think you gave us a taste of where you're going with that, but could you just help us understand a little more, is that going to be a direct to consumer effort or is that going to be more through the retailers and the online retailers like Amazon?
Irwin Simon: Sure. Andy, basically we spend our money in three areas right and we talked about this last time, one is digital marketing, second is shopper marketing at specific customers and innovation. In regard to our spend on digital and social media, it will be both direct to customers and also in co-ordination with the key retailers be they online or bricks and mortar guys.
Andrew Wolf - BB&T Capital Markets: Thank you.
Irwin Simon: Sure.
Operator: Our next question comes from Scott Mushkin with Wolfe Research.
Scott Mushkin - Wolfe Research: Hey guys, thanks for taking my questions. So, I want to get to the U.S. discuss a lot here and obviously great quarter and nice guidance for next year. But the organic growth expectations in the U.S. when we look at it, I think John from -- you had some pretty big wins this year that you are going to start cycling, already you’ve been doing that. How do we think of the non-core in the U.S. business as we look at ‘15 from an organic growth -- for organic growth?
John Carroll: Sure. So, what I said was for the year, our organic growth was at 8.5%. As you look at next year or ‘15 the year we're in, there is a couple of really big opportunities that we're going to leverage to continue drive our growth. First one is Celestial Tea did not have a strong tea season last year in the mass channel and we're already seeing our mass turnaround our Wal-Mart growth numbers are very, very strong on Celestial Tea. So, we expect that will be a big play for us in terms of driving growth. Second on Earth's Best, the leading grocer in the country Kroger has moved Earth's Best from the natural section to the mainline section. So we think that will be a strong play for us in terms of accelerating our growth. Third thing is snacks have been on fire for us. Right now, Sensible Portions and Garden of Eatin's AOC consumption is up 30%; Terra is up 25% and we’ve got some great go forward drivers on that in terms of increased distribution growth. For example, Sensible Portions is now available in the top three grocery chains, Safeway; Publix; and Kroger, whereas a year ago we weren’t in any of those guys. Terra has seen nice gains in distribution at Wal-Mart and Publix. Garden of Eatin' picked up a slot at everyday slot at Sam’s and three new SKUs at Publix. So, take that plus the personal care turnaround we’re seeing in terms of AOC and a continued momentum on Spectrum and some other brands, we think we’re pretty well positioned to continue to drive strong organic growth despite going at some very strong comps.
Scott Mushkin - Wolfe Research: So, that’s really good description. So, like mid to high single-digits, is that what we should think on, on the organic side still or is it…
John Carroll: No. I think Scott that is exactly what I would use.
Scott Mushkin - Wolfe Research: Mid to high single-digits? Okay, great. And then John, kind of keeping on your business for a second here, as we look at acquisitions, is it getting easier to integrate them vis-à-vis technology? So that’s one question, as A. And then B would be when you look out at acquisitions, what categories do you think look exciting, maybe this is for Irwin more, what categories in U.S. look exciting, is there a place where you like to be bigger?
John Carroll: I’ll handle the integration piece. And it is actually getting easier to do because over the last couple of years, we have brought every U.S. business unit on to our IT platform as opposed to running separate systems. And with the exception of Greek Gods and that will be brought on, on October 1st. So, we have really gotten quite good at driving in acquisition closing it and then getting our IT folks there the day after. And then the other key process that’s really gotten stronger for us is productivity and applying our productivity process to recent acquisitions. So, I think integration has gotten easier but -- and that coupled with the fact that we are focused on leveraging our sales force to drive distribution across channels. I think we are pretty well poised to continue to look for handful of bolt-on acquisitions every year in the U.S.
Irwin Simon: And Scott, you heard what I said before just on our growth alone by 2018; we’ll reach $3.5 billion, $3.8 million just on growth of those doing any acquisitions. And if you can back at things this year between Tilda Rudi’s and Hain Pure Protein that we did in July, together it was almost close to $0.5 billion of acquisitions. So with that there is categories; I still continue to see the fresh category in many, many ways where there is good opportunity of growth as Hain moves away from the center of the store more and more into fresh and today whether it’s our yogurts or our meat-free, I think there is still a big opportunity in meat-free and how we expand upon that. I think there is so many more opportunities in the yogurt category which we’ll continue to expand with Greek Gods and we’ve done with our non-dairy business, taking it into non-dairy. And as you step back today where we buy on a global basis and just as we are doing now, we acquired Tilda, Tilda will get us into the Middle East with Hain products, will get us into India but Tilda was very small in North America and John and Beena and their teams are going to launch Tilda here in a much bigger way. At the same time, we’ll look to launch Hain products into the ethnic market. But the big market for us too is foodservice. And whether it's [chopped, chipotle], they will sell a lot of our products and the same when Hain Pure Protein. We're seeing a lot of acquisitions, smaller companies that could be in the $7 million to $20 million and you put them through the Hain infrastructure, they could be $100 million brands. And we also have some small brands that as we’ve not focused on and that are flat or down that we're going to come back and look at them whether it’s spread shops, whether it's Nile Spice, how we grow our DeBoles business and there is the portfolio of brands within Hain that we should be focusing on and growing those. So…
Scott Mushkin - Wolfe Research: Thank you.
Irwin Simon: If you’re asking me if there is $1 billion acquisition out there to do, the answer is no. And I think what smaller companies are seeing is thereby yourself to grow today is very, very difficult.
Scott Mushkin - Wolfe Research: That's great commentary. I have more questions but I think I’ll try to take them offline. Thanks guys, I appreciate it.
Irwin Simon: Thank you, Scott.
Operator: The next question comes from Amit Sharma with BMO Capital Markets.
Irwin Simon: Good morning, Amit.
Amit Sharma - BMO Capital Markets: Couple of modeling questions. Steve, you talked about seasonality for the consolidated sales. Can you provide some commentary around seasonality at the divisional level; what is it in U.S. and how should we model the UK business from seasonality perspective? And then John, you talked about trade spending impact on organic sales. Can you touch on unify inventory reduction as well, how much impact it had on the quarter and what are we expecting it for the back half of this calendar year? And then for Irwin from a big picture point of view, I think some of gross margin questions are also, especially in U.S. sort of touching on, as you’re growing faster in AOC channels and consumer in those channels are probably a little bit more price sensitive than they are in some of other national specialty channels, does that have any impact on gross margins going forward? If not, what are the steps that you are taking to overcome that? Thanks.
Irwin Simon: Okay. So, I’ll be the traffic cop again. You had the chance to ride in the mall down, we’ll get these. So Steve, do you want to just check, go through his question on seasonality…
Steve Smith: Sure. So, in terms of the seasonality, I would take a look at our historical filings where we give on a segment basis, we provide revenues on a quarterly basis by segment and take a look at the cadence there. In terms of the big changes there is primarily in the UK business with the acquisition of Tilda where the second quarter of our fiscal year will be strongest. We’ll be strongest with Tilda because it’s just -- with the holidays. And then in terms of the rest of the UK business, soup season will be important to us this year, so second quarter will be a strong quarter for us. And then as project [Castle] ramps up over the course of the year, we'll see growth from the [Castle] business. So, that's the additional color I can add to the seasonality by segment.
Irwin Simon: Does that answer your question, Amit?
Amit Sharma - BMO Capital Markets: So, nothing much changes in the U.S.; is that what inferences, Steve? Historical patent should hold in U.S. and seasonality is generally because of what's happening in UK?
Irwin Simon: Right, exactly.
Amit Sharma - BMO Capital Markets: Okay.
Irwin Simon: Okay.
John Carroll: So, let's pick up on the unify piece. Unify has been implementing their IO system which is obviously their inventory optimization system. We have addressed it in Q3, now in Q4, they will continue through Qs 1 and 2 of our new fiscal year and it's been reflected in our guidance.
Irwin Simon: And just on that, I think John you’ve given -- we've talked about a number, it's somewhere..
John Carroll: It's here between 1 to 2 weeks of inventory.
Irwin Simon: Right. Which is somewhere between $16 million to $20 million that came around in the back -- in the second half of this year. And that was built into our guidance and built into our guidance going into fiscal 2015 as approximately much on.
John Carroll: Same store number.
Irwin Simon: Yes. 
John Carroll: Look and this is where driving business in channels we haven't done before in terms of stronger growth on online and things of that sort in our guidance to offset it.
Irwin Simon: And I think that comes back, I mean just back to what you're asking John, I think what's Hain today how well diversified, there is no one brand represents more than 19%, there is no one customers and we're diversified and certain things will always happen in the business you have puts and take and how we offset hopefully we have more puts and takes. And that's how we're able to offset them and that's to have a diversified portfolio the advantage of that. And your question to me on scale and margin, actually moving into grocery, it's a higher margin business for us. But I think one of the big things that we look at Hain is the consumer is always going to have to pay more for an organic or genetically modified free product or a cleaner product it’s just, it costs more to make the ingredients are more, we like to leave it and get it that to 10% to 15% closer to the 10%, if we could get it to the 5%, what as we come back and look at today and you’ve seen it whether it’s BluePrint, whether it’s Rudi's whether some of the Tilda, Ella's as we integrate these businesses and get the efficiencies back into The Hain model its money that we’re going to be able to spend back on the brand, its money that we’re going to be able to spend back against pricing that allows us to have pricing to parity closer to conventional products. Our research and our study shows the consumer will pay more and a perfect example of that is in baby food today, where you’re seeing conventional baby food declining, where you’re seeing organic baby food increasing a perfect example of that was in the UK with Ella’s becoming the number one baby food and where Heinz was for a long time, at the same time because of the competitiveness Plum pulled out of the marketplace in the UK. So, from our standpoint scale, efficiency, purchasing and I think that’s a key asset within Hain that we have today as one of the largest procurer of organic and GMO free ingredients, the efficiencies to help our margin, and help our pricing.
Amit Sharma - BMO Capital Markets: And I think that’s what I was trying to get to. The key is that even though we see price pattern or getting closer to or pricing gap at conventional narrowing, what you’re saying is that the productivity and other initiatives will prevent any margin dilution from that, is that fair to say?
Irwin Simon: I think listen, I will not sit here and say it’s not going to create some margin dilution I think that’s our intention it’s not it’s margin accretion that’s what we are all about, but I think the other big thing is as you heard me say today just step back for a second, if we’re $2.7 billion and we grow just organically to $3.8 billion, add a $1 billion on sales here. Without adding to the infrastructure in a big way, there is going to be margin accretion, there is going to be SG&A accretion here, and scale and size and I think that’s big thing within Hain today the infrastructure that’s set up to grow to a $4.5 billion, $5 billion company in place and yes we’ll have to add some other people and infrastructure and CapEx et cetera. But scale would absolutely get us there but the big thing is what I am not saying today is my objective is to bring our price down at parity to conventional foods because that’s not where it is and that’s it cost more. But again it’s a premium that’s affordable and it should not be just for the 1%, 2% and I mean it is going to happen, when whole foods and Sprouts opening up more and more stores and more and more demographics, it’s not only in the 1%, 2% geographic areas that they are going to open up stores and as Walmart, Target, Kroger, Publix, Tesco, Sainsbury sell organic food price is going to be to something important there.
Amit Sharma - BMO Capital Markets: Got it. Thank you very much.
Steve Smith: Amit, just to clarify something that I said to you a couple of minutes ago, in terms of the Tilda seasonality obviously the fourth quarter of our fiscal is the strongest quarter of the four quarters, but of the two quarters that have not yet been in our numbers the second quarter of our fiscal is going to be higher than the first quarter of the fiscal for Tilda.
Amit Sharma - BMO Capital Markets: Got it, that’s really helpful, thanks Steve.
Operator: Our next question comes from Scott Van Winkle with Canaccord.
Scott Van Winkle - Canaccord: Thanks. Steve, following up on that comment on the cadence quarter-by-quarter, it was either in the call or I read in the press release you are expecting earnings growth in Q2, 3, 4 to be relatively consistent. I would’ve thought with the big contribution from Pure Protein and maybe the second strongest quarter from Tilda that Q2 might be the biggest growth in earnings. I'm wondering if you can comment on that or if I misread it?
Steve Smith: What I said in my prepared remarks is that with respect to earnings, the first quarter is typically our smallest quarter with the other quarters relatively consistent as a percentage of the full year. So they’re relatively consistent, but that doesn't necessary I mean that they are all equal, they are all within acquaint to of each other, they're still some goods and services that we incur on somewhat discretionary basis as the timing within the year that some of that is going to shift between quarters. So for now that's the best color I can provide to you and over the course for the year, we'll provide more commentary as the year progresses.
Scott Van Winkle - Canaccord: Great, thanks. And then John the 8.5% internal growth that you talked about for the U.S. and I think that was impacted modestly by moved a point of sale tradesman. Is that adjusted or in any way or is that kind of the net internal sales growth?
John Carroll: That's the net internal sales growth and to your point the trade shift cost disappoints. So that would have been 9.5 without the trade piece.
Scott Van Winkle - Canaccord: Perfect. And then we're going to cycle through that change obviously this year. Is there any, is it specific to channels, I mean if we think about your business in grocery and mass maybe growing faster than natural on distribution gains et cetera, et cetera. Do you see an edge up or an edge down in that trade spend percentage?
Steve Smith: I don't see an increase in the overall trade. I see that we're going to climb over this for two more quarters because it's a change in our strategy to get, to simply just have everything we do on trade be attached to price because as Irwin said, we want to make sure that our deltas are sharper than they have ever been before.
Scott Van Winkle - Canaccord: Great. Thank you very much.
John Carroll: Sure.
Irwin Simon: Thank you, Scott. Two more questions.
Operator: Our next question comes from Kevin Grundy with Jefferies.
Kevin Grundy - Jefferies: Hi. Good morning guys. Thanks for question. So, what if you come back to Southeast next, John your commentary was helpful there, but a few questions I guess embedded here and the context being it's about I guess 20% of your mix in that sort of range and you guys are comping like 30% kind of growth which is tremendous so just striving north 60% of your growth at least recently, in recent months. So the questions are kind of around how sustainable is that sort of growth given that the category is growing 3% to 3.5%. I know, John you touched on some of the distribution gains that you're getting, where do you see that normalizing? What is the expectation for '15 in your guidance? And then maybe some commentary around growth rates in [non-scan] channels would be helpful. Thank you.
John Carroll: Sure. Sure, Kevin. So, here, in regard to snacks, you're right. We're currently growing between Garden and Sensible up 30% plus and Terra up 25% in the AOC universe. Look, there are shipments are running plus 20. We think that you'll see our snacks momentum still be north of 20% in FY15. Just given the different initiatives then we have as I talked about, whole notion in Sensible Portions being now in the top three grocery customers where it wasn’t a year ago; Terra picking up; increased distribution at Wal-Mart and Publix and Garden of Eatin’ picking up distribution; Sam’s, Publix and some other places. The other thing is we’ve got some great innovation. We’ve got -- Sensible Portions has got four SKUs that we developed closely with a specific mass retailer that will hit the shelves in October, which will be incremental distribution for us. And then last thing is that Terra, new package, the bounce we got from the Terra new package is unlike anything I’ve ever seen in my career before. But to say even if snacks were to slow, there are other pieces of the business that are really picking up momentum. We talked about the Celestial tea, Wal-Mart turnaround. We talked about the notion of EB picking up mainline distribution at Kroger, the personal care continuing to gain momentum. So, Kevin, I think it's fair to say, look; will snacks slow down? Look, I hope not but it’s -- we’ve been on Terra. My point is that there seems to be enough offsets on the other parts of the business that we should still be able to deliver the organic growth that we talked about. And then to that end, that’s what the FY15 guidance reflects, which is continued overall growth, organic growth in the mid to high single-digits going forward.
Irwin Simon: And Kevin, I think the big thing here is what the consumer wants is healthy snacks. And even if the snack category did not grow, there is a big enough category to take consumption away from existing brands and that's what our objective is and you can back and think about it. When we acquired Sensible Portions, it was a plus $50 million plus business; today, it’s well over a $100 million plus business and skewed towards the healthy snack, the re-launch on Terra Chips that the team has done. And in this past quarter, we saw Terra Chips up 25% from an AOC standpoint, and our Garden of Eatin' Chip. So and stay tuned for what we’re going to see. We see popcorn as a hot category, kids snacks with Earth's Best and Ella's is some of the things that we’ll continue to introduce. We’ve introduced a lot of products under the Bearitos name that were a lot of whether it’s Pita Chips or types of other snacking products as you’re seeing. So we have a lot in the snack category today. And as you heard me say, it’s close to quarter of $1 billion category for us. And we think if you look at categories where there is tremendous growth that is one where we think it’s going to grow a lot faster than any of our other businesses.
Kevin Grundy - Jefferies: Thanks guys. Can I have one quick follow-up; is it your sense that you guys are gaining share from your largest competitor in the category?
John Carroll: Our sense is we’re gaining share from conventional players in the category.
Irwin Simon: Right.
Kevin Grundy - Jefferies: Okay.
Irwin Simon: Which is -- well, I don’t know, who you’re meaning by our largest competitor. But I think what’s happened is there has been a lot of transfer of smaller snack assets in the category recently. And I think that’s where we’re grabbing share; plus I think, as John said, the consumer moving over from mainstream brands and coming over with healthier, looking for healthier products is where we’re gaining share from.
Kevin Grundy - Jefferies: Very good. Thanks for the time. Good luck guys.
Irwin Simon: All right, thank you. I think that’s our last question for the day. I want to thank everybody for listening to our call in the late days of August. Again, I want to thank The Hain team for what they’ve done and we have been through a lot over the last three months, six months and the year just as we look at our business moving forward, the first two months of our first fiscal 2015 are almost behind us and we are seeing good strong consumption in sales orders in July and August and you heard us what our consumption numbers as of July 10. So we continue to see the trend and the trend’s moving definitely in the right direction. It really is exciting to move up to number 61 on the 100 fastest growing companies in 2014 of Forbes, again as I look to move within the top 10 it’s something exciting. And I always say I always want Hain to be listed as one of the best places to work on Fortune Magazine too and that’s something we strive to do with our people. You heard me say at the beginning last year at this time as we announced earnings $1.7 billion and our forecast this year is 2.7 billion, that is acquisitions and growing $1 billion in sales and acquisitions are a part of it but again it’s managing these acquisitions, integrating these acquisitions, taking over the teams, the procurement, the manufacturing and by the way running it along side with your current business and I think it’s something that we have done great and our growth is just not coming from acquisitions, it’s coming from our existing brands and we’ll continue to do that. So with that, as I have said before, there is lots of runway out there for us, there is lots of white space, there is more and more retailers selling healthier foods, as we’ve put in place today our global procurement team to procure. And last but not least as we put in place our quality control teams around the world to work with our manufacturers, to work with our plans. And when we do have a little bump in a road like we had with MaraNatha, how do we deal with it, how do we ensure safety and quality for our consumers, and it’s something that we'll do. With that, I want to thank everybody for their time today. And I want to wish everybody a safe rest of the summer, a safe summer and your holiday weekend ensure that at least you have one or two or three or it could go to four of Hain products. Thank you very much.